Operator: Good morning, and welcome to Landstar System's First Quarter Earnings Release Conference Call. [Operator Instructions] Today's call is being recorded. If you have any objections, you may disconnect at this time.  
 Joining us today from Landstar are Frank Lonegro, President and CEO; Jim Todd, Vice President and CFO; Joe Beacom, Vice President and Chief Safety and Operations Officer.  
 Now I would like to turn the call over to Jim Todd. Sir, you may begin. 
James Todd: Thank you, Bill. Good morning, and welcome to Landstar's 2024 First Quarter Earnings Conference Call. Before we begin, let me read the following statement. The following is a safe harbor statement under the Private Securities Litigation Reform Act of 1995.  
 Statements made during this conference call that are not based on historical facts are forward-looking statements. During this conference call, we may make statements that contain forward-looking information that relates to Landstar's business objectives, plans, strategies and expectations. Such information is by nature subject to uncertainties and risks, including, but not limited to, the operational, financial and legal risks detailed in Landstar's Form 10-K for the 2023 fiscal year described in the section Risk Factors and other SEC filings from time to time.  
 These risks and uncertainties could cause actual results or events to differ materially from historical results or those anticipated. Investors should not place undue reliance on such forward-looking information, and Landstar undertakes no obligation to publicly update or revise any forward-looking information.  
 With me this morning are Frank Lonegro, Landstar's President and Chief Executive Officer; and Joe Beacom, Landstar's Chief Safety and Operations Officer. It's my privilege to pass to Landstar our CEO, Frank Lonegro, for his opening remarks. 
Frank Lonegro: Thanks, JT, and good morning, everyone. First, I want to express my sincere gratitude and excitement to lead this great company. I've had the pleasure of meeting so many of our network constituents for these past several months.  
 At our annual agent convention in early April, I had the opportunity to interact with hundreds of agents with the entrepreneurial spirit that helps make Landstar successful. While they are all unique, these agents take great pride in what they do every day, helping move the freight that drives the American economy. They are a talented group of business owners, and I'm proud to be working alongside them to help Landstar grow. 
 I've also been out on the road, meeting with many of our BCO owner operators in Florida, Georgia and Kentucky at our monthly safety meetings, field operations, center visits in the Mid-America Trucking Show. I look forward to seeing our Million Mile Safe Driver and road star BCOs at the annual All-Star event in July, and know we share a common passion to safely deliver freight for our customers every day.  
 I'm incredibly energized to work with our agents, BCOs and carriers through our proven business model to continue Landstar's track record of success. I've also inherited a strong executive team at Landstar, and we've been actively working together to drive Landstar forward. I'm excited by the recent changes we made in our sales leadership, with Jim Applegate and Matt Dannegger. This combination of strategy and execution will serve Landstar and its agents well as we align for growth. While JT, Joe and I will handle the call today, we'll be sure to showcase Jim and Matt on some of our future earnings calls.  
 We are laser-focused on executing on our strategic initiatives. Cross-border Mexico and heavy haul are 2 areas we have identified where we already have scale, and believe we have significant opportunities for growth. We also remain committed to continuously improving the level of service and support we provide to our customers, agents, BCOs and carriers each and every day.  
 Turning to Slide 5. Landstar performed well in the 2024 first quarter, considering that the freight environment was characterized by soft demand and readily available truck capacity. I believe our results speak to the strength and resiliency of the Landstar business model. I am fully committed to fostering and safeguarding this unique model moving forward.  
 Our balance sheet continues to be very strong. We remain committed to investing in leading technology solutions for our network of small business owners, and we'll be refreshing a significant portion of our trailing equipment fleet this year. Our capital allocation priorities remain unchanged. I'm a believer in the company's stock buyback program, and I'm committed to opportunistically executing on our existing authority to benefit our long-term stockholders.  
 In the 2024 first quarter, the freight environment continued to be soft. Manufacturing levels trended below the level of the corresponding prior year period and inflation continued to have an impact on consumer spending on goods. We remain in a loose truck capacity environment when measured by historical standards and market conditions continue to favor the shipper. Even with that backdrop, Landstar's 2024 first quarter top line results were better than expected, and our earnings performance was generally in line with what we expected. I was pleased to see heavy haul loadings, which as mentioned above as one of our strategic growth priorities, grew 2% year-over-year. On the other side, our substitute line haul service offering declined more than the company average and continue to be soft, after an incredibly strong run during the capacity constraint period coming out of the pandemic.  
 Our first quarter guidance set forth in our 2023 fourth quarter earnings release call for the number of loads hauled via truck to be 14% to 16% below the 2023 first quarter and overall revenue per truckload to be 8% to 10% below the 2023 1st quarter. The actual number of loads hauled via truck in the 2024 first quarter was 13% below the 2023 1st quarter, slightly better than the high end of our truckload volume guidance. Actual revenue per truckload in the 2024 first quarter was 7% below the prior year quarter, again, slightly better than the high end of our guidance. The slightly favorable variance on revenue compared to guidance was mostly driven by a stronger fiscal February as fiscal January results were in line, and fiscal March came in slightly above our expectations.  
 Turning to Slide 6 and looking at our network, the scale, systems and support we provide that drive the operating results generated during the 2024 first quarter. JT will get into the details on revenue, loadings and rate for load, but I wanted to take a moment to touch on our agent community. I was very excited to meet many of our 524 Million Dollar Agents in Orlando earlier this month at the annual agent convention. This group of Million Dollar Agents collectively generated approximately 95% of Landstar's consolidated revenue during the 2023 fiscal year. Their relentless drive for results in any business environment is impressive.  
 I've been in the transportation sector for most of my career, and realize how important Landstar's safety-first culture is to our continued success. Our safety performance is a direct result of the professionalism of the thousands of Landstar BCOs operating safely every day. Our continued investment in safety technology and trailing equipment and our recruiting, qualification and maintenance practices. I'm proud to report a 0.52 DOT accident frequency per million miles in the first quarter, which decreased approximately 12% as compared to the 2023 1st quarter. This is an impressive operating metric that speaks to the strength, skill, talent and dedication of our BCOs and provide a point of differentiation, our agents are able to highlight in discussions with our freight customers.  
 Turning to Slide 7 and the capacity side. BCO truck count decreased by 399 trucks in the first quarter on a sequential basis and has decreased approximately 13% since the end of 2023 1st quarter, consistent with the year-over-year decline in truckload volumes. It is typical to incur turnover in BCO truck count when truck rates decrease. BCO turnover continues to be influenced by the significant increase in the cost of repairs in the extended period of time trucks are out of service awaiting repairs. We would expect the BCO count to continue to decline in the coming months given the rate environment, but at a slower pace than we saw in the first quarter.  
 I will now pass the call back to JT to walk you through the 2024 first quarter financials in more detail. JT? 
James Todd: Thanks, Frank. Frank has covered certain information on our 2024 first quarter, so I will cover various other first quarter financial information included in the press release and slide presentation.  
 Turning to Slide 9. As Frank mentioned earlier, both the number of loads hauled by truck and truck revenue per load each slightly exceeded the high end of our previously issued guidance. Non-truck transportation service revenue in the 2024 first quarter was 12% or $10 million below the 2023 first quarter. The decrease in non-truck transportation revenue was mostly due to a 58% decrease in air revenue per shipment. As to the breakdown in Truck Transportation, revenue per load on loads hauled via unsided platform equipment held up considerably better in revenue per load on loads hauled via van equipment and other truck transportation services. We consider revenue per mile on loads hauled by BCO trucks a relatively pure pricing number, as it excludes fuel surcharges billed to customers that are paid 100% to the BCO. 
 Revenue per mile on van equipment hauled by BCOs in the 2024 first quarter was 7% below the 2023 first quarter. Revenue per mile and unsided platform equipment hauled by BCOs in the 2024 first quarter was 5% below the 2023 first quarter. It should be noted that although the market has softened significantly from a year ago, Landstar's revenue per mile on BCO van and unsided platform equipment both remain above the pre-pandemic 2020 first quarter by approximately 21% and 23%, respectively. We believe that rates will stay relatively higher than pre-pandemic levels given the significant amount of incremental cost to operate a truck today as compared to 5 years ago.  
 Revenue per mile on van equipment hauled by BCOs remained sequentially flat from December to January and from January to February before decreasing 2% in February to March. These December to January and January to February month-to-month changes are stronger than pre-pandemic typical patterns, with the exception of the beginning of 2018 when rates were favorably impacted by the mid-December 2017 ELD mandate. However, the sequential change in BCO revenue per mile on van equipment from February to March underperformed these pre-pandemic historical patterns.  
 As to revenue per mile and unsided platform equipment hauled by BCOs, revenue per mile decreased 2% from December to January, increased 1% from January to February and increased 2% from February to March. The month-to-month sequential trends on unsided platform equipment are generally more unpredictable compared to that of van equipment. This relative volatility is often due to the mix between heavy specialized loads and standard flatbed volume. The 2024 unsided platform volume trends are somewhat favorable as compared to typical pre-pandemic trends when excluding 2018 for the reasons mentioned above.  
 Heavy haul revenue, one of our areas of increased strategic focus was up approximately 1% year-over-year in the first quarter. Heavy haul loadings were up approximately 2%, partially offset by a 1% decrease in revenue per load. This represented a mixed tailwind to our unsided platform revenue per load, as heavy haul revenue as a percentage of the category increased from approximately 25% during the 2023 first quarter to approximately 28% in the 2024 quarter.  
 Turning to Slide 10. We provided revenue share by commodity and year-over-year change in revenue by commodity. Transportation & Logistics segment revenue was down 19% year-over-year on a 13% decrease in loadings and a 7% decrease in revenue per load as compared to the 2023 first quarter.  Within our largest commodity category, consumer durables, revenue declined 20% year-over-year on a 15% decline in volumes and a 6% decline in revenue per load. Revenue in our top 5 commodity categories, which collectively make up about 70% of our transportation revenue, were down a combined 17% compared to the 2023 first quarter.  
 Shifting gears from revenue to loadings within the remaining top 5 commodity groupings, from the 2023 first quarter to the 2024 first quarter, total loadings of machinery decreased [ 15%. ] Automotive equipment and parts were relatively flat. Building Products decreased 2% and hazardous materials decreased 14%. Additionally, substitute line haul loadings, one of the strongest performers for us through the pandemic and one which varies significantly based on consumer demand decreased 36% from the 2023 first quarter.  
 Also, Landstar is a truck capacity provided to other trucking companies, 3PLs and truck brokers. During periods of tight truck capacity, those freight transportation providers reach out to Landstar to provide truck capacity more often than during times of more readily available truck capacity. The freight hauled by Landstar on behalf of other truck transportation companies include almost all our commodity groupings, including our substitute line haul service offering. Overall, revenue hauled on behalf of other truck transportation companies in the 2024 first quarter was 36% below the 2023 quarter, a clear indicator in our model that capacity is more readily accessible. Revenue hauled on behalf of other truck transportation companies was 14% and 18% of transportation revenue in the 2024 and 2023 first quarters, respectively. Even with the ups and downs in various customer categories, our business remains highly diversified, with over 25,000 customers, none of which contributed over 6% of our revenue in the 2024 first quarter.  
 Turning to Slide 11. In the 2024 first quarter gross profit was $113.9 million compared to gross profit of $152.9 million in the 2023 first quarter. Gross profit margin was 9.7% of revenue in the 2024 first quarter as compared to gross profit margin of 10.7% in the corresponding period of 2023. In the 2024 first quarter, variable contribution was $168.2 million compared to $208.7 million in the 2023 first quarter. Variable contribution margin was 14.4% of revenue in the 2024 first quarter compared to 14.5% in the same period last year. The decrease in variable contribution margin compared to 2023 first quarter was primarily attributable to a decreased variable contribution margin on revenue generated by truck brokerage carriers. 
 As the rate paid to truck brokerage carriers in the 2024 first quarter was 149 basis points higher than the rate paid in the 2023 first quarter, partially offset by mix, as an increased percentage of revenue was generated by BCO independent contractors, which typically has a higher variable contribution margin than revenue generated by other modes of transportation.  
 Turning to Slide 12. Operating income declined as a percentage of both gross profit and variable contribution, primarily due to the impact of the company's fixed cost infrastructure, principally certain components of selling, general and administrative costs in comparison to smaller gross profit and variable contribution basis. Other operating costs were $14.9 million in the 2024 first quarter compared to $12.4 million in 2023. This increase was primarily due to an increased provision for contractor bad debt and decreased gains on sale of used trailing equipment. Insurance and claims costs were $26.3 million in the 2024 first quarter compared to $27.6 million in 2023. Total insurance and claims costs were 5.8% of BCO revenue in the 2024 period and 5.3% of BCO revenue in the 2023 period.  
 The decrease in insurance and claims costs as compared to 2023 was primarily attributable to decreased net unfavorable development of prior year claim estimates and a decreased accident frequency, partially offset by increased severity of accidents during the 2024 period. During the 2024 and 2023 first quarter, insurance and claims cost included $1.1 million and $1.9 million, respectively, of net unfavorable adjustment to prior year claim estimates.  
 Selling, general and administrative costs were $56.4 million in the 2024 first quarter compared to $53.6 million in the 2023 first quarter. The increase in selling, general and administrative costs was primarily attributable to increased employee benefit costs and increased provision for incentive and equity compensation under our variable compensation programs and the impact of $1.2 million of CEO transition costs, partially offset by decreased project consulting costs.  
 In the 2024 first quarter, the provision for compensation under variable programs was $4.6 million compared to $3.3 million in the 2023 first quarter. We'd like to note, despite some moderate wage inflation pressure and selective human capital investment in certain areas, principally heavy haul cross-border and fraud prevention, total wages from the 2023 first quarter to the 2024 first quarter declined slightly, as the company continues to be very disciplined with respect to managing headcount.  
 Depreciation and amortization was $14.1 million in the 2024 first quarter compared to $15.2 million in 2023. This decrease was primarily due to decreased depreciation on the company's trailer fleet, partially offset by increased depreciation on software applications resulting from continued investment in new and upgraded tools for use by agents and third-party capacity providers. The effective income tax rate was 23.5% in the 2024 first quarter compared to an effective income tax rate of 23.3% in the 2023 first quarter, primarily attributable to larger net excess tax benefits from stock-based compensation arrangements during the 2023 first quarter.  
 Turning to Slide 13 and looking at our balance sheet. We ended the quarter with cash and short-term investments of $530 million. Cash flow from operations for the 2024 first quarter was $94 million and cash capital expenditures were $9 million. The strength of our balance sheet is a testament to the cash-generating capabilities of the Landstar model.  
 Back to you, Frank. 
Frank Lonegro: Thanks, JT. As we progress through the 2024 second quarter, year-over-year comparisons should begin to ease. In the 2023 second quarter, the number of loads hauled via truck and truck revenue per load both significantly underperformed pre-pandemic seasonal patterns. In 2024, as we moved from March into the first few weeks of April, our truck volumes seem to have moved more in line with what we would view as normal sequential month-to-month patterns based on pre-pandemic seasonal performance trends. Truck revenue per load has slightly underperformed these pre-pandemic patterns, though the sequential week-to-week trends in truck revenue per load in the first 3 weeks of April have been favorable.  
 Turning to Slide 15. Our year-over-year expectations for the 2024 second quarter are the truck load volumes will be 5% to 9% below the 2023 2nd quarter and truck revenue per load will be in a range of flat to down 4% versus the 2023 2nd quarter.  Looking at the 2024 2nd quarter on a sequential basis. Pre-pandemic patterns would normally yield an 8% improvement in truckload volumes and a 2% improvement in truck revenue per load. Our guidance for the second quarter implies a 4% to 8% sequential improvement in truckload volumes and truck revenue per load ranging from down 1% to up 3% sequentially. We also expect revenue for our non-truck loads to be similar to what we experienced in the 2024 first quarter. 
 Based on these assumptions, we expect revenue in the 2024 2nd quarter to be in a range of $1.2 billion to $1.3 billion, and earnings to be in a range of $1.35 per share to $1.55 per share. The 2024 2nd quarter guidance incorporates a variable contribution margin range of 13.9% to 14.2% and insurance and claims costs of approximately 5.5% of estimated BCO revenue. We also want to highlight some specific items embedded in the 2024 2nd quarter EPS guidance range of $1.35 per share to $1.55 per share compared to the 2024 first quarter actual EPS of $1.32 per share.  
 First, SG&A in the second quarter is expected to be above the first quarter, due in part to the cost of Landstar's annual agent convention in April. Second, we expect variable contribution to be 20 to 50 basis points below the 2024 first quarter, which is in line with pre-pandemic historical sequential patterns.  
 Third, the second quarter tax rate is expected to be approximately 100 basis points higher than the first quarter, in line with our normal tax rate assumptions, driving a $0.02 per share unfavorable variance compared to the first quarter.  
 We also want to note that the company has widened the guidance range for both revenue and earnings per share. While these ranges reflect the fact that economic and freight conditions are still quite dynamic, we believe the strength and resiliency of the Landstar model position us well to successfully navigate this environment.  
 With that, Bill, we'd like to open the line for questions. 
Operator: [Operator Instructions] We do have the first question coming from the line of Scott Group of Wolfe Research. 
Scott Group: Frank, nice to speak with you again. Welcome back to transports. You guys gave more color on some of the monthly trends. That was helpful, but it was going quick. So it sounded like March deteriorated. And then maybe, Frank, at the end, your comments around pricing in April were a little bit better. Maybe just a little bit more color on sort of what happened in March and what you're seeing in April? 
Frank Lonegro: Scott, thanks, and good to hear your voice again, for sure. We're watching this thing on a daily and weekly basis as you would imagine, just given the desire to see an inflection. And so what we don't want to do is over index on a day or 2. We want to look at the trends over time. And I think the point that I was making toward the end was the week-by-week view in April on rate was beginning to show some positivity. And so we're hopeful that, that is the beginning of an inflection. It's not going to be a kind of a rapid rebound as maybe we saw in the immediate post-COVID time period, but a little bit of sign of green shoots is always help.  
 I'll let JT fill in some color there. 
James Todd: Yes. No, absolutely, Frank. So Scott, the good guy top line to the model really was strong February. So February versus the model was about plus 8%, as both the number of loads hauled via truck and truck revenue per load in February outpaced typical seasonality. March was about 3.5%, good guide to the model on the top line, but both loadings and rev per load in March seasonally underperformed typical February to March, again, off a stronger base, a starting point of fiscal February. 
Scott Group: And then any thoughts about April there? 
James Todd: Yes. To Frank's point, we saw truck revenue per load probably peak in the middle of fiscal March and then starting to slide on us a little bit. To Frank's point, in fiscal April, week 1 to week 2 truck revenue per load improved week 2 to week 3 and improved, such that we don't have April close, but our best guess is we're going to be maybe flattish March to April, and that compares with a historical plus 100 basis point good guy on truck revenue per load historically March to April. 
Scott Group: Okay. That's helpful. And then Frank, just bigger picture, right? If you look net revenue is coming back to where it used to be pre-pandemic, but the cost structure is just so much higher. Is there anything you could do or any initiatives to meaningfully reduce cost, one. 
 And then secondly, we've had a view that there is -- there should be an opportunity to meaningfully accelerate the pace of buyback here. Any thoughts on that in your new role? 
Frank Lonegro: Yes, for sure. And all good questions, as always. So on the cost side, it is always going to be something that we're focused on. As JT went through the math, especially in the first quarter year-over-year, I mean we are very disciplined on headcount. And JT's got the [indiscernible] on that one in holding the organization accountable.  
 So what you're really seeing are selective investments that are really driving the year-over-year change, and whether that's on the depreciation side or adding some selective positions in those strategic areas that we called out on the phone. Technology is always going to be an area that we continue to invest in. I mean our job is to support the agents and the BCOs and the carriers out there.  
 So there's no initiative to really go hard at cost right now. It's more around the growth side of the equation. We think we're going to come out stronger when we start to inflect. So I think we're in good position there. The sales organizational changes are going to be helpful there. We do have some real focus on things like the cross-border Mexico as well as heavy haul. And those are areas that we have a scale business already and being able to focus on those areas that are more, I'd say, secular growth in nature rather than cyclical.  
 And then on your buyback question, obviously, we're just getting started joining mid-quarter. We've got a pristine balance sheet, as you know, and it's wonderful to inherit that from Jim Gattoni, and obviously, the Board has had a big hand in that one. And the company has really got a kind of a long and successful history of returning cash to shareholders, that's not changing. The company has been very selective about when it's in the market, and we're going to continue to evaluate where we are in the market on a price basis pretty much every day.  
 Being patient clearly has its advantages. You look at where we traded in the first quarter between about 180 and 200. And obviously, it's come down since then for a lot of different reasons, including what the Fed is going to do. And we want to be great stewards of the shareholders' money. So we're going to be selective in the market, but we are going to return capital to shareholders. 
Operator: We will move now to the next question coming from the line of Tom Wadewitz of UBS. 
Thomas Wadewitz: Yes. And yes, also kind of welcome back to the transports, Frank. Nice to talk with you again. How do you think about the dynamic on agents and BCOs? I think you said that the decline in BCOs is slowing a bit. So when do you -- I mean, do you think that's just kind of like spot rates, bottoming, you'll see that bottom out? Or what do you think the dynamic will be and kind of, I guess, key levers for how the BCO count goes and also the Million Dollar Agent count, if you think about that in, let's say, 2Q, 3Q? 
Frank Lonegro: Tom, great to hear from you again as well. I think the first impression I would give you on the agents and the BCOs, I mean, these folks are awesome. They're out there scratching every day on the agent side to go sell the extra load of freight and the BCOs to haul an extra load for us. So it's been great to see just the resiliency of the folks out there. And the fact that they're all commission based on the agent side and load based on the BCO side. So these are folks who are putting dinner on the table by load by load. So it's really important to know. They're not on salary and these folks are out there fighting every day for us.  
 In terms of the Million Dollar Agent count, I mean it was down year-over-year just because of the rate environment. I think as the rates inflect, that number will go up on a full year or full year type basis. Certainly, the exit rate if the rates we'll operate with us the exit rate will be higher this year than it was at the end of 2023.  
 On the BCOs, one of the things that's really important and Joe can get into the numbers. But even though the BCO count effectively declined in line with where volumes went, the actual productivity of the BCOs went up. They hold more loads per person than they were doing last year. So that tells us that they're out there scratching for every load.  
 But Joe fill in again. 
Joseph Beacom: Yes, Tom. So in the first quarter, net declines were about 10% better than the fourth quarter. So we're seeing some improvement there. And to Frank's point, utilization loads per truck per week for BCOs was up 3% in the first quarter. That was flat in January, 6% better in February and then 4% better in March. So we kind of like the trend that we're seeing there. And that continues to, I think, move in the right direction through April. And again, it is a function of just loading opportunities and rate. And I think we'll see the BCO come back as kind of the volumes and rates come back in line. 
Thomas Wadewitz: Do you think that you'll see good responsiveness on that? Or would you -- do you think it's going to be tougher to add BCOs as you -- if you have kind of gradual improvement in rates? 
Joseph Beacom: I think they'll bounce back, and our history really speaks to that. If you look back in years where we've kind of come out of a trough, in '17 going into '18, we added 250 trucks in '17. We added over 900 in 2018. We added -- we were down 130 or so in the first quarter of 2020, but we added a net 748 for the year, added a bunch -- 870 in 2021. So I think the model speaks to the fact that when there's opportunity, these guys really flock to Landstar. And I think it's not different now. I just think we're waiting for that inflection point for that to happen. And I think as capacity comes out of the market and things turn, I mean, I think we're still a home for owner-operators who want to have the freedom to make decisions and provide for themselves.  
 I just -- it's going to be a gradual thing, in my opinion, as rates and volumes come back. They'll come back. There's not a systemic issue. I don't think -- it's more about when and at what pace it happens. And as we're as anxious as anybody to see that happen quickly. 
Thomas Wadewitz: Yes. Okay. So it's about kind of cycle duration and profile, not structural change. Okay. Appreciate it. 
Operator: We will move now to the next question coming from the line of Jon Chappell of Evercore. 
Jonathan Chappell: I want to circle back to February and March, especially. Jim, you noted February, 8% good guy to the model marks 3.5%. I mean that is very contrary to everything we've heard throughout this earnings season for the last 1.5 weeks. So is there any way you can kind of dig a little deeper on where the relative outperformance came from, how things changed to the positive when it seemed to be changing the negative for most of the -- the rest of the industry post the January conference call? 
James Todd: John, I'm happy to. So in February, the biggest good guy was truck revenue per load in February was 60 basis points higher than January. That compares to a down 220 historically, if you look at 2019 to 2015 pre-pandemic patterns. In addition, truck volume beat on seasonality as well. And I would tell you, John, we saw this too in -- not just on the revenue side, but we saw it on the net revenue side on the brokerage side of the house. So from the fourth quarter of 2023 to the first 8 weeks of the first quarter of 2024, we saw our net revenue margin compress 105 basis points. 
 And then from the first 8 weeks of first quarter '24, the last 5 weeks, it widened back out 85 basis points, right? So I think that's consistent with kind of that underperformance on the top line that we saw relative to pre-pandemic seasonality off that tougher launch point in February. 
Jonathan Chappell: Okay. And then I don't want to, again, extrapolate the last couple of weeks or whatever. But if you were kind of a real good guy in February, March, and people are kind of looking for green shoots, sounds like maybe February was a little bit worse in the back half, but to typical seasonality, but April a little bit better. Are there any signs that you're seeing that there's really a more sustainable uplift in demand? Or a more accelerated removal of capacity that's putting a floor below rates? Or do you think that this is pretty specific to kind of your business, your business model and your customer base? 
Frank Lonegro: Yes, John, let me take a shot at that one, and it a little bit harkens back to the conversation we were having with Scott a moment ago. We are watching this thing very, very closely. We've got, as we said in our prepared remarks, we've got areas which are doing quite well relative to the broader market and relative to the corporate average. 
 And then we've got other areas like the power only and some of the 3PL business that's not doing as well. And you would expect that kind of super cyclical side of things to be really good in good times and more difficult in more difficult times. 
 When I look at the commodity groups that are performing well in April. There are things like the automotive business, metals, electronic packaging, building materials, the government business. I mean, these are things that are more on the industrial side of the economy and more that have kind of a secular item of things. I mean data centers, wind energy, electronic vehicles, things like that. And we're very well positioned to do well in those markets. 
 I mean, these are sort of our sweet spot. So we're seeing those things do well. I think that they are reflective of early cycle, how early is a good question to ask. The consumer durable side is still not where we'd like it to be. Our view and many -- I think share this view. There was a fair amount of durable goods that were pulled forward during the pandemic, and that's got to kind of get back to equilibrium before we see that turn positive for us. 
 JT, if you got any more color on some of that? 
James Todd: No, Frank, I think you had the nail on the head. We're watching very, very closely. We get a little bit of Easter impact that was a headwind at the end of the first quarter tailwind the April, and we're carving that out and we're looking, John. And from our vantage point, reasonably in line on the volume side and rev per load is just ticking a little bit below. 
Operator: We will move now to the next question coming from the line of Bruce Chan of Stifel. 
J. Bruce Chan: Just want to come back to some of the comments that you made around cross-border. I know it's still early days there, but maybe you can help us to quantify the size of that business now relative to the opportunity? Or maybe what kind of growth you've seen there? 
Frank Lonegro: Yes. Bruce, on cross-border, and I think the important thing is we were an early mover in cross-border. We built the facility we call LMO, which is a facility cross-docking facility and a yard and actually, we have a big crane down there, we call that [ LFS ]. So it's a really slick facility. Our customers and agents really like that. 
 We've got a shuttle service that goes across the border. We've got a small intra-Mexico carrier called Metro. So we're well positioned in that environment. Clearly, we're trying to capitalize on near-shoring. So we've got a good facility down there. We're going to continue to look for opportunities to grow that business, to introduce more and more agents to help us sell the cross-border. 
 So we think it's a good business. And again, as I mentioned in my opening remarks and I'll turn it over to JT for numerical color, but we're already scale -- a scale player here. So it's really about taking business that's already performing well and really thinking about ways to grow. 
 JT? 
James Todd: Yes. Thanks, Frank. I would just -- in terms of revenue performance, it was down about 14.5%, our cross-border revs, 1Q '24 versus 1Q '23 was about 400 basis points better than what we saw here at the core. 
 Joe, if you have anything to? 
Joseph Beacom: Yes. No. I'll just say in last year, we did a little over 600 million. We were looking to move to almost 200,000 loads across the border this year. And it's a tremendous facility that serves us well. It provides for a great transloading environment to allow us to take advantage of that imbalance in the cross-border business. There's a lot more northbound than southbound. We've got a very solid core Mexican group of carriers that help us service the interior. 
 And then to the earlier emphasis around cross-border, we've got a dedicated sales team now working on developing opportunities south of the border, as well as some agent development initiatives, trying to train up and bring agents up to speed on the core capabilities that we have, a multitude of crossing points across the border. And that's really, I think, going very, very well. 
 So again, a strength that we have and have had that we'll just continue to lean on to grow in what we think is a great opportunity, not only in '24, but into the future. 
Operator: We will move now to the next question coming from the line of Stephanie Moore of Jefferies. 
Stephanie Benjamin Moore: I wanted to maybe circle back on a prior question talking about maybe the cost structure and some select investments that you called out. If you could maybe kind of expand a little bit on those. You called out some sales organization changes. You just mentioned having a dedicated sales team to go after cross-border. 
 If you could kind of maybe expand on that a little bit more and just key areas of investments, which I think are clearly you're trying to position yourself well then the upturn. But would love to get a little bit more color there. 
 And then say maybe on the cost side, areas where you're taking -- making some probably quick actions to take cost out of the business. 
Frank Lonegro: Stephanie, thanks for the good questions. Let me do them in reverse. I'd say we are looking hard at every position that comes open, whether we need to fill it, whether we need to fill it right now, can we wait until we see additional volume inflections. And again, I give a lot of kudos to JT in terms of how he manages things. 
 And really, the whole leadership organization. Everybody understands that we're in a freight recession. It's been a couple of years in difficult circumstances. So we're being very, very judicious about filling positions that have some level of volume variability to them. 
 In terms of strategic investments, I'm a believer that when a company embarks on a strategy, it's got to align a lot of things, including capital and human capital resources to be able to bring those to fruition. So when we talk about strategic initiatives like cross-border and heavy haul, you should expect that we are going to invest both capital and people into those areas to make sure that what we're saying is follow through with real action and can deliver the value that we think is there. 
 So we -- and we're not talking large dollars or large numbers of people, but the fact that we're adding salespeople into cross-border. We're adding salespeople and some leadership positions in heavy haul, like these are important decisions for us. 
 And remember that the headquarters environment, the core environment within Landstar is quite small relative to the agents. So we're investing there to educate them and to provide them the tools that they need and kick open some doors with customers that can help us get into that business in a more fulsome manner. 
 But we're -- we've got 1,100 agents or so that we're trying to introduce into heavy haul and in the cross-border. They're not all going to want to do it, but there are going to be some who have one of the opportunity to try that business out. We know there's a bunch of freight out there. We know we're good at it. We know our safety and our service capabilities and the performance that we put up year in, year out. Just to give a lot of credit to Joe in terms of the way that he's running the operation. It's important for us to keep those as great selling points. And it takes a couple of people extra in order to really go out and sit with the agents and help them understand how to go out and sell that piece of business. 
 Joe, anything you add to that? 
Joseph Beacom: Yes. And Stephanie, we've kind of got a mantra that we attribute to cross-border and that is Mexico made simple. And I think that over the years, we've really worked to make it that way so that agents aren't intimidated or aren't at all reluctant to bring it up with the customer. 
 We've got over 500 agents of our 1,100 that will do a cross-border shipments last year and going forward. And so what we're trying to do is just deepen the understanding, increase the confidence to do so. 
 And from an investment standpoint, we continue to put shuttle trailers down there that allow us and our Mexican carrier partners to utilize those trailers and provide seamless service, a timely service across all the gateways. So we're just trying to do a lot of things. 
 The sales effort -- on the interior, not every agent wants to go into the interior and make sales calls. So Landstar provides resources that will be embedded in the interior, making calls, uncovering opportunities that will then be managed by those agents and our teams at the border. So I think it's a good recipe looking forward. 
Stephanie Benjamin Moore: Appreciate the answer. And then just one follow-up here. Maybe on the technology side, I think for years, a lot of the technology investments were geared towards upgrading some legacy systems. Are we at the point now where maybe some of these investments are positioning you guys to play a little bit more offense? 
Frank Lonegro: Internally, Stephanie, we sometimes say, we were the original tech-enabled logistics provider. So we're going to continue to stay on the leading edge of that. I think we have to. It's really table stakes these days. 
 So we may not have marketed nearly as much to the investment community as others have done, but we think it's not a single legged stool, right? It's not just technology, it's the brand, it's the scale, it's the relationships, it's the safety, it's the security. It's all of those things wrapped up into one. It's not just a bunch of people sitting in front of a computer trying to do business in a digital manner. That is clearly something that we do, but it's not the only thing that we do. 
 One of the things that we will start looking at is technology, I'll say, inside the building, where we still do some things that are more legacy-related inside the building. Call center modernization would be an idea there that we're talking about in the billing and settlement area for us inside the building. 
 So we've got some things that are going to generate, I'd say, better levels of support, maybe some efficiencies over the next couple of years. I think we've done a lot, and I give Jim Gattoni, a ton of credit. One of the hallmarks of his tenure has been putting great technology and tools in front of the agents and the BCOs. And I think we're sort of coming to more of a maintenance mode for that over the next couple of years. And again, we'll start to reinvest inside the building. 
Operator: We will move now to the next question coming from the line of Daniel Imbro, Stephens Inc. 
Joe Enderlin: This is Joe Enderlin on for Daniel. Just wanted to ask about the cadence of variable contribution margin. Could you maybe talk about how the exit rate compared to the beginning of the quarter? And then where have you seen that trend during April? 
James Todd: Yes. So we put out, Joe, a BCM guide for the first quarter of 14.5% to 14.7%. And clearly, with the revenue to be a little bit more brokerage in there and spreads compressing on us a little bit more than we would have anticipated. Missed at low end by 13 bps or so. 
 As we move into the second quarter, would that call for sequential load volume, that's going to be handled via third-party trucks, right, given what we're seeing in truck count. So you've got kind of embedded mix headwind. 
 And then we did bake in a little bit more anticipation of spread compression similar to what we saw third quarter to fourth quarter, fourth quarter to first quarter. And as such, the guide calls for a very, very close to normal seasonality with respect to BCM expectations for 2Q. 
Joe Enderlin: Got it. Makes sense. As a follow-up, it sounds like you guys are seeing an improvement in industrial end markets and commodity groups. Do you have any thoughts on when you expect consumer durables demand could pick up? Or have you seen any green shoots of improvement there? 
Frank Lonegro: Yes, it's a good question. I mean it is getting a little bit better, but it's off of an awfully low base. So I'd hate to call the ball on that one. I think it's going to come down to the consumer has had a lot of opportunity in the last couple of years, as COVID has kind of relented and you spent the first 2 years of the COVID period spending money on things at home and renovating things that -- you couldn't go out, you couldn't travel. You couldn't do the things that otherwise you might want to do out and about, just given the concern around contagiousness. 
 So I think we're now in that period where folks are pivoting towards more of the services and going out to dinner, rather than eating at home or taking a vacation instead of buying a new dishwasher or something like that. So I just think we've got to go through the pull forward a little bit. I still think we're several quarters away from seeing that come back into equilibrium. 
Operator: We will move now to the next question coming from the line of Bascome Majors of Susquehanna. 
Bascome Majors: Jim, on your current outlook, can you just tell us how much is embedded in the full year accrual for variable comp including the share-based piece? And if you return to growth in 2025, how much needs to come back to get you back to that level? 
James Todd: Based on my 9 plus 3 kind of best estimate, as I sit here today, I'd anticipate about a $15 million to $17 million headwind full year '24 versus '23. If you're looking at '25 versus '24, I'd say kind of -- at kind of threshold, you'd expect about $1 million tailwind given some of those transition costs that are included in the first quarter of '24 that won't repeat in FY '25. 
Bascome Majors: And Frank, welcome back. High level. I know you've only been here less than 3 months, but this is a business that has done really well for stakeholders and shareholders by doing things pretty similarly for a very long time. And obviously, the cycle has challenged things, at least from the peak in a way that we haven't seen before. 
 But structurally, as you come in with a fresh perspective, do you see any pieces of the model that could maybe be tweaked? I don't know in how they relate with agents or how you compensate BCOs. Just really anything where you might be able to turn some norms around the dials and generate the kind of growth we've seen historically for the next 10 years. 
Frank Lonegro: Bascome, nice to hear your voice, and I look forward to connecting with you later in the year. I'd say the early impressions, and again, it's only been a little less than 3 months. I mean the model is an extremely powerful model. 
 It's unique. It's resilient. It obviously has attributes which are wonderful and have been wonderfully successful, the tech enablement, the asset light, the strong cash flow. You're harnessing the power of literally thousands of people who are putting food on the table every day through the agent on the BCO community. So there's certainly do no harm to the model mantra. 
 In terms of the future, I'd say it's evolution, not revolution. It's how to take advantage of an already really good company and try to make it better. It's a fresh set of eyes on everything that we do and sort of no preconceived notions of that we do things as good as we can do. 
 So clearly, I'm going to be looking for opportunities to improve things, again, from an already good base. And I think the 2 themes that maybe you're hearing come through is, one, how can we accelerate the model? And then how can we really focus on some of the strategic investments? 
 I mean, you heard us talk about cross-border and heavy haul, like those aren't going to be the last 2 areas that we focus on. Those are just the first 2 areas, and I give the Board and Jim Gattoni, a lot of credit. I mean, they started down this path maybe a year or so ago. And so I'm the beneficiary of that work and firmly believe that those 2 are real opportunities for us. 
 I'm going to be looking at the secular shifts in a bit of a follow the money type of a strategy. So as you think about things like near-shoring, that's clearly an area that we want to play in. Infrastructure, whenever that money unlocks from the government, I mean, that's an area that really fits well with heavy haul. So we're going to be able to do a lot more work in that area. 
 Green Energy would be another area. The power generation needs of the country, especially with AI and data processing and mining for cyber currency and things like that. I mean just there's a gargantuan amount of power that's required to do that, which means we've got to have alternative sources of energy and data centers for all the computing power that's necessary. 
 Like those are all things that we do really well in. And I think you're going to continue to see us look for those secular opportunities and then invest the capital and the people in order to unlock those. 
Operator: We will take the last question coming from the line of Uday Khanapurkar of TD Cowen. 
Uday Khanapurkar: This is Uday on for Jason Seidl. I guess can you talk a little bit about the rate environment, specifically in the unsided market? I believe flatbed spots had a better quarter than van. I guess I'm wondering, are we seeing a different capacity dynamic in that part of the market? Or any color there would be helpful. 
Frank Lonegro: Uday, I think one of the things that we talked about was that the platform environment is holding up better than the van environment. Some of it is simply the supply-demand dynamic in that area. There's fewer [ flats out ] then there are bands out there. It is an area that supports heavy haul as well. 
 So it's an area that we've been focused on. So I think there's part of it there as well. We don't we don't bottom feed. We're certainly looking for premium freight and a lot of the platform items are a little bit higher revenue per load, [indiscernible] Jim? 
James Todd: Yes, no, absolutely, Frank. And as I mentioned, there was a bit of a mixed good guy there. So we saw increased demand for that heavy haul service offering plus 2% on loadings and down 1% rev per load. If you kind of strip out the heavy haul mix good guy from the unsided platform category, you go from a down 1.7% as reported year-over-year to a down 4.2% kind of unsided platform ex the impact of heavy haul. 
Uday Khanapurkar: All right. That's very helpful. I guess just as a follow-up, just on the year-on-year truckload guidance. Just I'm looking at the model, it implies a modest sequential uptick or even slightly down at the low end. I guess I'm wondering, how does that guide measure relative to normal seasonality on a sequential basis? 
James Todd: I'm sorry, can you -- the guide with respect to anticipated operating margin for second quarter? 
Uday Khanapurkar: The truck loads down 5% to 9% year-over-year. 
Frank Lonegro: Relative to seasonal. 
James Todd: Year-over-year. Just slightly below. So I think on a sequential basis, we called for 4% to 8% tailwind, 1Q to 2Q, so call it 6 at the mid, and that's lagging by a point or 2 of what we would call define normal seasonality. 
Operator: At this time, I show no further questions. I would like to turn the call back over to you, sir, for closing remarks. 
Frank Lonegro: Thanks, Bill. In closing, while the freight environment remains challenging, we do see some positives in the near-term. We expect the 2024 second quarter to deliver Landstar's first quarter-to-quarter sequential revenue increase since the second quarter of 2022. 
 Also, we are encouraged that truck revenue per load seems to have stabilized at a level well above pre-pandemic norms and truckload volumes appear to be trending reasonably in line with pre-pandemic normal seasonal patterns, which is potentially a positive sign for the rest of 2024. 
 Regardless of the economic environment, the resiliency of the Landstar variable cost business model continues to generate significant free cash flow. Landstar has always been a cyclical growth company, and we are well positioned to navigate these dynamic times and look forward to higher highs when the freight market turns our way. 
 Thank you for joining us this morning. We look forward to speaking with you again on our 2024 second quarter earnings conference call in July. Thank you. 
Operator: Thank you for joining the conference call today. Have a good morning. Please disconnect your lines at this time.